Operator: Ladies and gentlemen, thank you for standing by. And welcome to Ambarella's Fourth Quarter Fiscal Year 2021 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions].  I would now like to hand the conference over to your host today, Louis Gerhardy, Corporate Development. Please go ahead.
Louis Gerhardy : Thank you, Sarah. And good afternoon, everyone. Thank you for joining our fourth quarter and our fiscal year 2021 financial results conference call. On the call today is Dr. Fermi Wang, President and CEO; and Casey Eichler, CFO. We're dialing in today from different locations. Consequently, I'll be covering Casey's prepared remarks, and then Casey will be online for Q&A. The primary purpose of today's call is to provide you with information regarding our fourth quarter and our fiscal 2021 results. The discussion today and the responses to your questions will contain forward-looking statements regarding our projected financial results, financial prospects, market growth, and demand for our solutions, among other things. These statements are subject to risks, uncertainties and assumptions. Should any of these risks or uncertainties materialize or should our assumptions prove to be incorrect, our actual results could differ materially from these forward-looking statements. We're under no obligation to update these statements. These risks, uncertainties and assumptions as well as other information on potential risk factors that could affect our financial results are more fully described in the documents we file with the SEC, including the annual report on Form 10-K, that we filed on March 27, 2020 for fiscal year ‘20 ending January 31, 2020, and the Form 10-Q filed on December 9, 2020, for the third quarter of fiscal year ‘21. Access to our fourth quarter and fiscal '21 results press release, historical results, SEC filings and a replay as well as the prepared transcripts of today's call can be found on the Investor Relations portion of our website. With that, I'll turn it over to Dr. Fermi Wang.
Fermi Wang: Thank you, Louis, and good afternoon, everyone, and thank you for joining us today. Our multi-year visual AI investment is the major factor in the accelerated business momentum we are reporting. Fiscal year '21 revenue of $223 million was down 3% from the prior year, with CV growing significantly, exceeding 10% of total revenue for the year with the video processor business down around 10%. Fiscal year '21 came with many challenges, the pandemic, geopolitics, and an increasingly tight supply chain. And these factors remain to varying degrees today. I'm pleased with how we have managed this environment. And as I look into fiscal year '22, my goal is to maintain a high level of execution and leverage our leadership position with our differentiated and proprietary visual AI silicon.  Q4 finished the year on a strong note with revenue 4% above the high end of our guidance range, driven by CV, with a number of production CV projects doubling sequentially. Ambarella's highly focused video and image processing R&D investment crossed over a cumulative $1 billion in Q4, with almost half of this amount directed to our proprietary AI technology development. In fiscal year '21, validation of this investment was strong, as more than 175 unique CV customers purchased engineering parts and/or development systems, including more than 40 reaching production volumes in the year. By the end of the current quarter, we expect to have shipped more than 2 million CV SoCs on a cumulatively basis, with more than 300,000 CV SoCs shipped into the automotive market. I am extremely proud of our new product execution, as demonstrated by the introduction of our flagship CV5, the first in the family of 5-nanometer AI vision processors. As we look into fiscal year '22, our guidance contemplates supply chain or supply side challenges, growth in the organization and expanding product portfolio and the development of number of increasingly diverse markets. We remain confident the visual AI market is still in its early stages and we continue to expect CV to be at least 25% of total revenue for the year with the video processor business posting moderate growth. I will now update -- I will now provide an update on our customers and markets. At the beginning of the year, we introduced our CV5 and artificial intelligence, AI vision processor capable of recording 8K video or full 4K video streams. The new SoC will enable the development of intelligent automotive camera systems, consumer cameras and robotic cameras. It combines Ambarella's powerful CVflow AI engines with dual arm A76 CPUs to provide the performance necessary for a wide range of AI-based algorithms. Fabricated in the most advanced 5-nanometer process technology, we believe CV5 sets a new industry benchmark for power consumption, consuming approximately 2 watts of power, while encoding 8K video at 30 frames per second or 5 watts at 60 frames per second. In January, Ambarella held its annual customer technology event during what would have been the live Consumer Electronics Show. Our virtual event was held over a 2-week period and included the individual live hosting of over 200 worldwide customers, spanning automotive, consumer, robotic and IoT markets. Featuring over 30 technology demonstrations with an emphasize on advanced AI applications, the event was a great success, allowing us to keep engaged, not just with existing customers but to meet many new ones that might not otherwise have been able to travel to Las Vegas for a live show. During the quarter, at Amazon re:Invent Show, AWS announced their new Panorama SDK with support for Ambarella CVflow SoCs. The Panorama SDK allows device manufacturers to easily build edge computer vision devices for a wide array of use cases across industrial IoT and other segments. Ambarella was chosen as well with only 2 initial semiconductor partners to build an ecosystem of hardware accelerated edge AI devices with our solution targeting intelligent camera designs. I would now like to take the opportunity to describe some of our customer-related highlights from the quarter, starting with the automotive market. Today, we announced the Motional, a global leader in driverless technology, has selected Ambarella’s CVflow family of AI processors. The process to work with Motional's network of LiDAR, camera and radar sensors to enable the vehicle's safe operation in diverse and challenging road conditions. Motional is leading the industry in making driverless vehicle a reality. The company recently became among the first in world to put driverless vehicle on public roads and announced a landmark agreement with Lyft for the largest deployment of robotaxi on a major rideshare network. The company driving record, including navigating more than 1.5 million miles in diverse environments, and providing more than 100,000 public rides with zero at-fault incidents. It has also led the establishment of industry-leading safety standards having co-published a Safety First for Automated White Paper. Ambarella’s CVflow SoC will be part of the central processing module in Motional’s driverless vehicle providing image and computer vision processing for cameras in the sensing suite, including the front-facing cameras. The CVflow AI engine will enable Motional AI algorithms to perform complex computer vision tasks, such as object detection, classification and image segmentation with industry-leading power efficiency. Ambarella’s advanced image processing will allow the vehicles to operate in challenging lighting conditions, including low-light and high-contrast situations, while the SoC’s H.264 encoding will enable logging of video data from all cameras in the vehicle. In the Chinese automotive market, the world's largest, we have won a number of driver monitoring in the combination with driver monitoring plus in-cabin monitoring designs in passenger vehicles. These designs are with leading automotive OEMs and are expected to enter into mass production this year. The design leverage Ambarella's CVflow AI processing to enable driver safety functions such as impacting distracted or drowsy drivers as well as our SoC ability to process RGB-IR images. The designs are based on our CV25 SoCs as well as our new CV28 SoC, which we announced in the fourth quarter of last year. Also during the quarter, Ford introduced a dealer fit dash camera for its European model based on Ambarella's A12 AX automotive SoC, designed by Falcon Electronics, the small form factor, wide-angle HD cameras, fits into the rear-view mirror zone of the wide windscreen without obstructing the driver's view and integrates with Ford’s SYNC 3 screen and voice control. And in China, joint venture, FAW-Volkswagen, introduced its new CC passenger car with a dealer fit HD DVR, based on Ambarella's A12A SoC. Also during the quarter, a major home monitoring camera maker entered into mass production of a new class of intelligent camera based on our CVflow SoCs. Ambarella is beginning to see significant CV growth in home security cameras. Customers' requirement for cameras with higher quality alerts realized with advanced hardware designs and more sophisticated algorithm for object detection, motion detection and [package] protection are driving the adoption of Ambarella’s CVflow SoCs. In January, Alarm.com released its touchless video doorbell, eliminating the need to physically press the doorbell button. The doorbell recognize when a person stands on your doormat and sends a mobile alert, allowing you to see and then talk to your visitor from wherever you are. Based on Ambarella's S5L, it includes 150-degree vertical view -- vertical field of view to allow viewing of packages, full HD resolution, IR night vision and HDR processing. Also during the quarter, Logitech launched its circle view wired doorbell. The first consumer doorbell includes Apple HomeKit security. The doorbell leverages users' existing iCloud storage for video recording without paying a separate subscription, and provides a seamless viewing experience with the Home app on iPhone’s Apple Watch or other Apple devices. The doorbell is based on Ambarella's S5LM SoC. In the professional IP security camera market, Ambarella has continued to benefit from customers migrating from high silicon solutions and from widespread adoption of SoCs based on our CVflow AI architecture. During the quarter, Dahua, the world's second largest security camera maker, continued its migration to Ambarella with multiple product launches. For intelligent Transport Systems product, our CV2 SoC is being used for 3, 5 and 9 megapixel ITS cameras. In IP security cameras, our CV22 and the CV2 SoCs are now shipping for 4 and 8 megapixel designs with advanced analytics. And also Korean market leader, further extended its portfolio of Ambarella-based IT security cameras, including a new 3-channel multi-directional camera based on our CV22 CVflow SoC. A new full channel panoramic camera based on our flagship CVflow CV2 SoC, and a new 5 megapixel mount model based on our H363 SoC. Also during the quarter, Idis, Korea's second largest camera supplier, introduced 3 new camera families based on our CVflow CD22, HL H3 SoCs. The new cameras include eye, 5 megapixel and 8 megapixel models and leverage intelligent Kodak capability to reduce network bandwidth and storage requirements. In Europe, German IT camera specialists,, introduced its new Panamera camera based on CV22 by combining several lenses and sensors with different focal lens that Panamera is able to capture remote and the middle areas with the same high-resolution of the things in the foreground. We are continuing to see opportunities in new class of sensing cameras, spanning multiple vertical applications such as asset control, occupancy monitoring and retail analytics. During the quarter, Genius Pro, a leading provider of 3D 5 sensor systems introduced a people counting camera, targeting transport and building monitoring applications. Based on our CV 25 CVflow SoC, it includes both a visible cMOS sensor and a TOF sensor, with CD25 performing sensor fusion and the AI processing to provide high accuracy people counting. In summary, we are leveraging our successful video processor Heritage into the development of a highly optimized video AI family of SoCs. In essence, our addressable market expanding beyond human viewing applications to include the installed base of machines that can now use our CV SoCs to visually perceive their environment and make decisions, leading to higher level of autonomy and eventually automation. The adoption of our expanding family of video AI silicon into increasing diverse markets, including pure machine sensing was demonstrated by the Motional announcement today. It's in the early stage, but is taking shape. And as this adoption drives revenue growth, we expect to continue to deliver positive earning leverage to shareholders. In our earnings calls on June 4, 2019, we provided guidance on the anticipated shape of the first 3 waves of CV RAM. We stated wave 1 professional security will become material in calendar year '20. Wave two, home security will become material in calendar year '21 and wave three, automotive will become material in the calendar year '22, '23 time frame. We achieved our Wave 1 goal in the last year and I am confident we are on track to achieve wave 2 and 3 in their prospective time frames. The last CV wave automotive is sprinting on track as we have indicated with our communication last quarter on our automotive revenue funnel, and in FY '22, driven by CV, we anticipate our auto business will grow at a rate that is significantly higher than the other business. This is important as our automotive is estimated to be about 2/3 of total in FY '22 for more than $3 billion, growing to almost $7 billion in FY '26. The mega trends for security, safety and automation are very favorable. And to address this secular growth forces, we continue to build our team globally to support the rising interest in our CV SoC from existing and new markets. I would like to thank all of our employees for their contribution to our leadership position in the market and for their execution in this turbulent environment. And thanks to all our other stakeholders for your continued support. I will now turn the call over to Louis, who will give you more details about what we are seeing and expect for the business. Thank you.
Louis Gerhardy: Thank you, Fermi. I will review the financial highlights for the fourth quarter and the full FY '21, ending on January 31, 2021, and provide an outlook for our first quarter of FY '22 that ends on April 30, 2021. We will be discussing non-GAAP results and ask that you refer to today's press release for a detailed reconciliation of GAAP to non-GAAP results. For non-GAAP reporting, we've eliminated stock-based compensation expense adjusted for the impact of taxes. Despite the pandemic, geopolitical and supply chain challenges, revenue in fiscal '21 decreased 3% to $223 million, as strong CV product ramp offset much of the headwinds. For the year, security camera revenue represented about 60% of revenue, with the balance roughly split between auto and other. For FY '21, non-GAAP gross margin was 61.4%, up from 58.5% in FY '20, driven primarily by the richer product mix, as 2 of our professional security camera customers in China had an anticipated reduction in their safety stock. Non-GAAP operating expenses increased 10%, primarily due to a $10 million increase in R&D. Our cash flow from operations was $30.8 million for the year and with no debt, net cash and marketable securities totaled $440 million. Driven by CV products, Q4 revenue of $62.1 million was 4% above the high end of our guidance range of $56 million to $60 million. These results represent an increase of 11% from Q3 and an increase of 9% when compared to the same quarter a year ago. Auto revenue increased more than 20% sequentially and year-over-year. Security camera sequential growth was about 20% and began to grow again on a year-over-year basis after the anticipated trough in Q3. Other revenue experienced a seasonal decline. Non-GAAP gross margin for Q4 was 61.4%, slightly above the high end of our guidance range of 59% to 61%. As anticipated, gross margin declined 129 basis points from the prior quarter due to the product and customer mix in the quarter. Non-GAAP operating expense for the fourth quarter was $33.4 million, compared to $32.4 million in Q3. This was slightly above the high end of our guidance range of 31 million to $33 million. Other income was about $600,000, primarily representing interest income on our cash and marketable securities. Non-GAAP net income for Q4 was $5.1 million, or $0.14 per share compared to $3.3 million or $0.09 per share in the third quarter. The non-GAAP effective tax rate in Q4 was 4% as the distribution of profits shifted towards lower rate jurisdictions. In the fourth quarter, non-GAAP earnings per share were based on 37.6 million shares. Total headcount at the end of the fourth quarter was 785, with about 81% of employees dedicated to engineering, most of whom are focused on software. Approximately 69% of our headcount is located in Asia. In Q4, we generated positive operating cash flow of $12.5 million. Total accounts receivable at the end of Q4 were $25 million or 37 days of sales outstanding. This compares to accounts receivable of $24.1 million or 39 days outstanding at the end of the prior quarter. Net inventory at the end of the fourth quarter was $26.1 million compared to $23.7 million at the end of the previous quarter. Days of inventory decreased to 93 days in Q4 from 102 days in Q3. We had two 10% plus customers in Q4. WT Micro, a fulfillment partner in Taiwan, who ships to multiple customers in Asia came in at 68.4% of revenue; and Chicony, a Taiwanese ODM, who manufactures for multiple customers, primarily U.S.-based, came in at 13.8%. I will now discuss the outlook for the first quarter of FY '22. We continue to have strong design activity in all of our markets. As you've heard, the semiconductor industry supply chain has become increasingly tight, and it's now very difficult to support customers who place orders inside of our lead times, which have been increasing. In addition, the Texas freeze impacted one of our vendors' operations. And while they are in the process of recovering, we do not yet know the final impact. To the best of our ability at the current time, our guidance contemplates the supply side dynamics. Despite these challenges, with multiple CV programs ramping production, we expect to perform better than the typical downward seasonal trend in Q1 with revenue anticipated in the $67 million to $70 million range or up 8% to 13% sequentially. Auto revenue is anticipated to increase more than 20% sequentially, with security up in the low to mid-teens sequentially and other down about 20% sequentially. We continue to monitor the outstanding geopolitical challenges, including the risk of dual supply chain and what that means for our ability to continue to supply our customers in China. In our prior earnings calls, we estimated 2 professional security camera customers in China had pulled in roughly $10 million of video processor revenue from FY '21 into FY '20. We believe this video processor inventory correction is largely complete with these 2 customers combined, representing a low-teens percent of our total revenue in Q4. As discussed in our November 23 earnings call, and as Fermi described today, Dahua commenced mass production of multiple products in Q4, with several of our CV SoCs utilized. We estimate Q1 non-GAAP gross margin to be between 59.5% and 61.5% compared to 61.4% in the fourth quarter. Our guidance considers some higher costs and expenses that we're incurring to expedite orders and secure more capacity. We expect non-GAAP OpEx in the first quarter to be between $34 million and $36 million, with the increase from Q4 primarily coming from an increased engineering headcount, payroll tax accruals and other engineering expenses. The Q1 non-GAAP tax rate should be modeled at 10% versus 4% in Q4. We estimated our diluted share count for Q1 to be approximately 37.8 million shares. Ambarella will be participating in the Morgan Stanley TMT conference tomorrow, March 3; Berenberg's American Innovation Seminar on March 4, Baird's Vehicle Technology and Mobility Conference on March 10, and the ROTH Conference on March 15 and Bank of America's Auto Summit on March 30. Please contact us for more details. Thank you for joining our call today. And with that, I'll turn the call over to Sarah for Q&A polling with Fermi and Casey available.
Operator: [Operator Instructions] Our first question comes from the line of Matt Ramsay with Cowen.
Matthew Ramsay : Yes. I thought it was interesting, a couple of points on your prepared script for me, that you had talked about, number one, the very large number of engagements. I think you mentioned, what, 175 now folks that have taken engineering samples for CV based products. And then you also sort of talked about this movement from from sort of Phase 1 of CV adoption into what you guys talked about of Wave 2 that might extend into home security. So maybe you could help us break down the number of the engagements, I think that 175 number by whether we're in wave 1 or 2 or 3 and what the customer concentration and mix looks like of those engagements?
Fermi Wang : That would be really helpful. Yes. Thank you, Matt. In terms of the customer engagement, I would say that it's a little -- from the security camera, both for professional consumer, the total number of those customers are probably a little more than the automotive, but it's quite balanced. And so that, in fact, you can see that we talked about 40 customer in production. I will say majority of that is in professional security camera, and we are seeing some of the consumer security camera going to production. I also mentioned there are a few automotive camera customers in production and driving our CV revenues. So I think that's probably from a design win point of view, I would say, you can use probably half a professional have auto and point of view, I think majority is a professional security canaries point.
Matthew Ramsay : Got it. I guess in the script as delivered by Louis, you guys talked about the guidance for the current quarter being above what would typically be down seasonally and we're kind enough to give the split of what's driving the quarter's revenue. Casey, if you have any thoughts about seasonality for the remainder of the year, would you -- as you see it now? Is it typical? Is it affected by supply constraints? I'm just trying to understand off of what was the guide that was considerably higher than I think a lot of us had modeled. How should we think about seasonality in your visibility through the remainder of this fiscal year just kicking off?
Casey Eichler: Yes. Over the last couple of years, there's been a lot of dynamics that haven't been typical as in the past. We had -- wave 1 is now kind of in full force, and wave 2 is coming in at the end of last year and coming into this year, and that I think will drive the change in dynamic that we talked a little bit about around our business in China is also an impact. But on the other side of that, we're trying to look at the first half and the second half of the year and see what the dynamics are there. So we're going to try to continue to keep you guys updated as we move forward. I don't know that we're going to have the same type of seasonality. We had a little stronger year, quite frankly, in the consumer side last year than we were expecting. We wouldn't expect to see that this year, but we'll have to see. As you know, we've said over the next 5 years or so, that's going to be declining or continue to decline, but it happened to perform a little better than we thought last year. So I don't know that I would think about the traditional cycle going forward this year. But I think I would look at the dynamics that not only we're reporting, but others are reporting and try to factor that in. We also now have, as Fermi talked about, a pretty broad a pipeline of activity in automotive that's starting to emerge, and that's new to us as well. So we're pretty excited about all of those dynamics, but I don't know that I would call it typical to our historical balance, if you will, over the quarters.
Operator: Our next question comes from the from the line of Tore Svanberg with Stifel.
Tore Svanberg : Congratulations on the strong results. Question for Fermi. On the Motional design win, could you elaborate a little bit on that? Are you the exclusive for front-facing camera here? And should we assume that this is a multiyear design win, meaning you're sort of locked in for several years?
Fermi Wang : First of all, I think that our chip is responsible for all of the video function perceptions and which including the video processing as well as new network functions and also serve both for the front camera as well as the other cameras surrounding the car. So I do -- and in fact, we have -- with this current design, we have to use multiple chip car. And in terms of the length of the design cycle, I think for the whole lifetime of the shipment, we believe, is multiple year. And because I think that for any vehicle, you should expect, I would say, anywhere between 4% to 6% of shipments. We haven't heard from the Motional gives the guidance, how long this this product will last, but I have to -- I believe that any vehicle should have that kind of period of service time.
Tore Svanberg : Very good. Congrats on that win. And a follow-up for Casey. Louis talked about some pressure on gross margin because of higher input costs. Is this sort of it for now? Or could there be some further pressure as we move throughout the year on the COGS?
Casey Eichler: Yes. We're going to have to look at what happens as well as for supply and what we've talked about, what Fermi talked about in the call, I do think that as we do more and more development in 5-nanometer, that does increase the development cost, increase the CAD tool costs and some of the other costs around being on the cutting edge. And so I think right now, I'd say generally in the range where we are today, but we're going to continue to make sure that we have the right products at the right time, and that means we have to accelerate, as we talked about, not only hiring but our development in some of these markets.
Operator: Our next question comes from the line of Andrew Buscaglia with Berenberg.
Andrew Buscaglia : I wanted to -- this Motional announcement this morning is interesting. It kind of dovetails with what Amazon announced with their Zoox platform and robotaxis. I was hoping you could talk a little bit more about that specific market and what you think -- this is kind of starting to become a trend. And with automotive, I guess, where do you see growth coming from? Or what's the growth trajectory like for robotaxis, both, I guess, over the next couple of years? I know maybe it's not some label kind on this year, but can you talk more about that? It seems like you guys are becoming kind of a bit of a pattern?
Fermi Wang : Yes. So our feeling is that I think the level 5 level full level for car, consumer cars continue to be challenging on the technology side as well as on the regulation side. But we do see that people continue to develop technology to that direction. And we believe with this Motional announcement, the release a first step that a truck, not a commercial vehicle or it's commercial vehicle going to that direction. I think that's definitely probably easier way to get this technology into production. And I do believe that this is going to become an important sector, and I think that eventually, that's the most important market for us in the longer term. So we continue to invest heavily into this market and continue to invest heavily into our technology to enable our customers to do this kind of development. And I think this is critically important, particularly on the perception portion of that from visual perception, I think that it doesn't matter where the level 2+, level 3 and level 5, I think the visual perceptions continue to become more and more important and people continue demanding higher performance for all of those applications. So that's definitely is good news for Ambarella. But also importantly, we believe that although the ADAS market level 2+ -- level 2 and level 2+ is a near-term opportunity for us, but we believe that later down the road, this type of level 4 level 5 cars will become probably the main stream business when technology and the regulation are set for this market.
Andrew Buscaglia : Interesting. And the commentary on Dahua getting some projects. Was that surprising to you in Q4? And what does that mean, I guess, going forward for Dahua and your other big player in security Hikvision. Do you see something changing here where these guys are coming back in a more meaningful way to you?
Fermi Wang : Well, I think I won't say it's a surprise to us, but in Q4, but it's definitely it's a change from the trend we have been seeing for the last 2 years, right? We talk about that this new supply chain, China, non-China new supply chain happening, and we do see that the trend continues, but however, the Huawei or high silicon situation helped us to change that dynamic a little bit. And I do believe on this high-end CV market, we are -- when people -- this high silicon is not there, even in China, we have a very good position to provide solution to our customers. And that why is a great example. So while I continue to worry about the new supply chain development in China, but I do see that because our differentiated technology, we got a chance to get into our Chinese customer, including Dahua and several others, by using our CV chip for their AI cameras.
Operator: Our next question comes from the line of Kevin Cassidy with Rosenblatt Securities.
Kevin Cassidy : Congratulations on the great quarter. You had changed your outlook on the human vision or the video product growth for this year from flat to growing can you say what's changed there? Is it that these products have a longer tail than expected or demand is up? Or are you just getting more designs?
Fermi Wang : Well, I think there's multiple phases. But one of the thing is that we did talk about that the Hikvision Dahua will gradually digest their inventory level and came back to other more video solutions. But really, it's a positive surprise to us. And also that in this year, we do see there's a lot of customer that, for example, we take over some of the market share from our competitors that we talked about, also helped that direction. And I think these 2 things definitely is the major reason that we changed our guidance a little bit.
Kevin Cassidy : Okay. Great. And also, you mentioned on the virtual CES, you said 200 customers. Can you tell us what would be the normal number of customers you'd have in Las Vegas at your booth?
Fermi Wang : Well, last year, we had around 170. This year is around 200 plus. So that's probably in that range.
Kevin Cassidy : Okay. So constant increase in interest and your pipeline is filling up?
Fermi Wang : Yes.
Operator: Our next question comes from the line of Joe Moore with Morgan Stanley.
Joseph Moore : Fermi, you talked about the wins in China driver monitoring? And maybe if you could just -- it seems like in the European market that there's a much quicker path to revenue on driver monitoring than there is on ADAS. Is that also true in China? Like is that -- could that revenue materialize kind of sooner than you might see in some of these other opportunities?
Fermi Wang : Well, there are 2 things I would like to mention here. First of all, we mentioned that our CVflow SoC, we have shipped more than 300,000 units to automotive market. And majority, if you look at the market, 1 is really the fleet market, the fleet management market, the other 1 is the OEMs. And if you look at application, majority of that 300,000 chips is going to the ADAS market. But however, I do see that in China and in Europe, we see many DMS and in-cabin monitoring solution, our design wins are popping up. And we do -- we have won several of them. And also, we mentioned that some of them will be in production in China this year. And that's why you see we're talking about at this point. So I think what I'm trying to say is DMS, in-cabin monitoring, ADAS will continue to be on short-term revenue opportunity for our automotive revenue opportunity for our automotive market, while we continue to prepare solution for Level 2+ and above.
Joseph Moore : Okay. That's helpful. And then separately, on emotional win, how does that relate to the funnel and I guess both is that in the funnel at all? And then as you guys talk about the funnel and the revenue profile of the wins that you're getting, how are you thinking about level 4, 5 types of wins when it's so long until the revenue would actually start to kick in?
Fermi Wang : Right. So it definitely is in the funnel. And we are talking to a customer, including Motional about their guidance and obviously their expectations into production. So we definitely have a good idea their thinking on their production date and in terms of volume, so it's in our funnel. But like you said, this is a longer term project. that we have been working on for more than 4 years on this particular project. And we expect that although the revenue is not going to be immediately high in this year, but we do see that is ramp up work could give us a reason -- or very good returns in terms of investment. But at the same time, when we talked about our revenue funnel last year, we included everything we have visibility, right, which -- so you can imagine that Motional was part of that funnel what we discussed last quarter.
Operator: Our next question comes from the line of Vivek Arya with Bank of America.
Vivek Arya : I'm curious, what is the CV attach rate per car? I think you mentioned about 300,000 shipments cumulative. I'm curious how many cars does that correspond to? And were these shipments replacing what you were selling to the same customer before? Or are these new applications or new customers? I was just hoping for some more color on that.
Fermi Wang : Right. For -- like I said, for the ADAS or in-cabin or DMS type application, is 1 car -- 1 chip per car. So the 300,000 chip means 300,000 cars. In terms of whether this is replacement, I think it's not, because in the past, when we sell a video processor, is really for the DVR. And for the 300,000 automotive CV chip, we sold that into the ADAS market as well as DMS market. And I think that's a brand-new market for us. So it's not a replacement for our video processor chip.
Vivek Arya : Got it. The next question, I think you gave the contribution from Dahua. I forgot whether you gave it for both Dahua and Hikvision for Q4. If you could just repeat what the contribution was in Q4, what you're expecting for Q1? And in general, how should we think about them in terms of contribution for this fiscal year?
Fermi Wang : Right. So we talk about Dahua and Hikvision combined is like low middle teens -- low teens total revenues for us this year -- sorry in Q4. And moving forward, I think Dahua will continue to be a strong customer for us, because we talk about they not only clean up their inventory, but also the CV revenue is ramping up. Hikvision on the other hand, I think it's going to be a smaller customer moving forward, because while they continue to the video processors, we haven't get design win from Hikvision on the CV side. Moving forward, I continue to see that the China security camera market is important for us and Dahua will be leading our customer in there.
Operator: Our next question comes from the line of Ross Seymore with Deutsche Bank.
Ross Seymore : Congrats on the strong results in guidance. I wanted to dive into the automotive side. For me, you've had a couple of really good quarters in a row. Just wanted to blend what you're doing this year, where you said it's going to be the fastest-growing area with the first, second and third wave sides of things. So how would you describe what's driving the growth now and the transition that's still driving strong growth in FY '22 before you get to the true Wave 3, which would be next year. So how do you see your business transition over that period of time, and yet still deliver this strong growth?
Fermi Wang : Right. So I think there -- the strong growth coming from the multiple area -- first of all, the first wave of CV helped tremendously. You can see that our CV revenue growth. Last year, we said $25 million. This year, we said more than 25% of total revenue. And if you think that today, the analysts putting our whole year revenue around $280 million. So 25% of that was roughly $70 million. So we -- just CV alone grow from $25 million to $70 million and the growth mainly is in professional security camera and also ramping up our second wave of our CV revenue, which is consumer. During the meantime, we continue to ramp up our more CV design wins on consumer as well as different vertical markets with our asset control. We talk about people counting market. So there are different markets that we're going after with our traditional security camera design. So that continues to give us growth. At the same time, we talked about our automotive market continues to have stronger growth. I think that a combination of current video only solution, for example, the DVR market continues to grow fast in Japan, Korea and China. And also we just reported we are designing at the Ford and the Volkswagen. So you can see that even in U.S. and Europe start adopting the DVR solutions, which is really our -- I believe that we are the market leaders in that particular market. And so that continues to give us automotive growth. At the same time, we just reported that we have cumulatively shipped more than 300,000 CV chips into automotive that also is indication that we're doing well, and we are on track to deliver our wave 3 in calendar year '22 and '23.
Ross Seymore : I guess, 1 for Casey. I know you said seasonality doesn't come in on the revenue side so much, and there's lots of puts and takes there. But if we shifted down to kind of your general feeling on OpEx for the year, how are you thinking about that? Are there any big puts and takes to think about? How do we think about it relative to revenue growth, et cetera?
Casey Eichler: Yes. So I'd say SG&A is all fairly consistent with the exception, as we've talked about in the past, we are investing in the sales and marketing area in Europe. Obviously, building out our capabilities there, and so that has been some additional expense or will be some additional expense for the year. Really, our continued driver is going to be on the engineering side. Like I talked about with the 5-nanometer and the other costs related to doing these advanced technologies. There aren't many people bringing chips out at a pace that we are. Chan and his team are doing successfully last year and continuing into this year, and that doesn't come without cost. And that cost is have to continue to build our engineering team, not only in the U.S. but in Europe and in Asia, as well as we need to continue to invest in making sure that we can take out leading edge chips to take advantage of the success that we're having right now. So those are really going to be the drivers. And in the engineering side, that's pretty consistent, except for it's just getting more and more expensive on the sales and marketing side. That's a little bit new. It's not a huge investment, but we are making sure that we have the opportunity to take advantage of all markets globally.
Operator: Our next question comes from the line of Quinn Bolton with Needham & Company.
Quinn Bolton : Congratulations on the nice results. I wanted to ask sort of a longer-term question in the security surveillance market. Lots of puts and takes there. You're gaining share at Dahua and some of the Tier 2s. You seem perhaps a little less optimistic about winning CV at Hikvision. I guess -- and then Hisilicon is obviously -- can't secure new semiconductor supply. So I guess when you put all that together and you look out over the next couple of years, do you think you're positioned to gain share in security, do you hold it flat? Just kind of what are your thoughts over the next couple of years about whether you can grow your share of that security camera market?
Fermi Wang : Right. I think that in the next few years, the biggest transition for the security camera market is going to be transitioned from a video solution to the CV solution. And we believe that we are in a very good position from a technology point of view to provide the best solution to the market, both China and non-China customers. Outside China, I'm confident that we'll be #1 provider by far. And in China, because the supply chain, we see -- we continue to see a competitor coming on the low end side to compete on the CV solution. But on the middle and high-end side, we probably -- we are probably the best solution even inside China at this point. So I'm hopeful that we will continue to gain market share in security camera market when the transition continues. And it's hard for me to predict how fast the CV revenue is going to ramp up, but just look at -- we talked about 2 million units of CV chip shipments at the end of Q1. And the majority of that in professional security camera, and I expect that the growth rate will continue to increase in a big percentage. So I'm hopeful that we're going to see a similar transition just like 10 years ago when the security camera transitioned from analog to digital, we are going to see a very similar transition from the video to AI in the next couple of years.
Quinn Bolton : And then one for Casey. Just as things get tight, investors always worry about double ordering. I'm wondering if you could give us any thoughts? And if you're seeing any change in customer order behavior whether as lead times are stretching out, are these customers more comfortable placing orders with longer lead times with cancellation penalty, meaning that these are pretty sticky orders. Just any comments you can make about your confidence in the orders that are coming in would be greawtly appreciated?
Casey Eichler: Sure. Well, as you've heard me say in the past, in environments like this CFO, think like a baby, go to sleep and wake up every 2 hours crying. It's just really dynamic. And we go out, we have to dial up our activity with our customers. We have to continue those discussions. We have to be talking to our suppliers. And we have to try to map that together as best we can. As you've heard from everybody this quarter, that has come into play in the last quarter. And I anticipate that we're going to continue to deal with that for the first half of the year. But to your question really is how much of that is going to carry out into the second half of the year to where people aren't ordering for capacity in the first half, but just making sure that they have enough to make it through the end of the year. And we're going to get better visibility like everybody over the next quarter. But right now, certainly, we're all dealing with those issues. Our partners have been very good and have been very supportive, but it's also a very difficult environment as you heard and so we're going to continue to make sure that we're communicating with our customers, trying to make sure they understand lead times and how we can best support them in what's going to be probably a challenging quarter or two. And then to your point, on the back end, see how much of that was capacity and how much of that was inventory.
Fermi Wang : And Quinn, this is Fermi. I just want to add one more answer on that. Personally, we've all gone through this kind of environment in the past. I have no doubt that our customers tried to build up inventory for technical, which everybody should do in this environment. So it's our job to talk to our customers regularly to understand their true demand and trying to work together to prevent a different kind of problem down the road.
Operator: Our next question comes from the line of David O'Connor with Exane BNP Paribas.
David O'Connor : Great. Maybe 1 or 2 follow-ups from my side. Firstly, for me, on the -- you talked about wins at that way less so at Hikvision. You say that's taking longer or not as confident about that. Is there any particular reason why wins at Hikvision is taking longer? That's my first question. And then maybe a question on the -- for Casey on the supply chain. You mentioned it to. What's the -- have you secured enough capacity to continue to grow quarterly through calendar '21?
Fermi Wang : Right. Let me answer the question about Hikvision first. I think that the supply chain situation is definitely a concern for Hikvision. And I can -- i talked to them, I can sense that it's very sensitive to them that they want to secure a non-U.S. component as a higher priority. I think that's probably the biggest problem we are dealing with at this point. Casey, you want to answer the second half?
Casey Eichler: Sure. Obviously, in an environment like this, you're always trying to secure an appropriate amount of capacity, but it's also very fluid. And so where we're trying to make sure we have the capacity that we need, not only for the first half but the second half of the year, things change and environments change. For example, what happened in Texas in the last few weeks is certainly something that's a dynamic that no one expected impacts across the semiconductor environment. And so I think that we're doing the right things to secure the capacity we need for our customers. It is fluid and things like that can happen.
Operator: Our next question comes from the line of Tristan Gerra with Baird.
Tristan Gerra : Just following up a little bit on the supply shortage. Are you constrained in your current quarter guidance, which sounds like it's supply based relative to the demand and what you otherwise would be able to ship if there was no constraint? And is there a way to quantify this? And maybe also for the full year, since -- I'm assuming you probably have wafer contract for the rest of the year? How much you think you have security in supply growth versus what the demand is?
Fermi Wang : Right. So in Q1, I don't think we are supply constrained. And because, first of all, I think -- we buy wafer from Samsung, and I think they are a very good partner and continue to supply to us. And also, in fact, the biggest shortage out there is packaging and substrate. Our partner there is ASC in Taiwan. And also, we have a strong relationship. So in Q1, our guidance is not constrained by the supply. However, there's a curved ball has been thrown at us is that all of you have probably heard that Samsung Texas foundry was shut down because of the extreme weather. We just get -- I believe that the factory has gone back to operational, and they got the water and electricity. And we are working closely with Samsung to size up the impact to the delivery. And if there's any, that will be probably Q2 time frame, but we haven't really got a visibility on that yet. We will continue to work with our customers and also suppliers to make sure that we don't -- we don't become the bottleneck for our customers.
Tristan Gerra : Okay. That's great color. And given the environment of the PCB substrate price increases, are you able to pass on some ASP increases to your customers as well? Or could that also be a factor we should be looking at in terms of your gross margin outlook for this year?
Fermi Wang : Well, I think we -- our cost on the substrate definitely increased, but we have not passed it on to our customer yet. I don't think that's -- well, it's not a high priority tax for us yet. Also, all the guidance we gave you in Q1 include all of the costs we just mentioned.
Operator: Our next question comes from the line of Suji Desilva with ROTH Capital.
Suji Desilva : So on the -- I appreciate the computer vision revenue amounts and the guidance. But can you help us in the mix there of consumer versus wave 1 professional with the ratio there, when it ramps up, be similar to the video, which was 1/3 consumer, 2/3 professional, if I recall, just to get a sense of the relative size of those two?
Fermi Wang : Yes, going to fully ramp up, I think the ratio will be continue to be similar in that range. And also today, just because Wave 1 just completed and wave 2 just started, I think the revenue is still heavily favor professional security at this point.
Suji Desilva : Okay. Great. My other question's, you gave pipeline data in the past few quarters. Do you have any update to those numbers at this point? Or are you going to do that?
Fermi Wang : No. For the revenue funnel, we talked about that, we're probably going to give you annual update.
Operator: Our last question comes from the line of Richard Shannon with Craig-Hallum.
Richard Shannon : A follow-up on the professional security. For me, you mentioned kind of your early guidance, thinking about $280 million op line in the quarter, that's about $75 mil from CV and most of being professional security. That suggests it's going to be a good portion of professional security for the year like maybe 0.25 or so, roughly speaking. Do you have visibility on whether CV becomes more than half of professional security this year or soon thereafter? And then just kind of following on that, as we think longer out, do you think the cycle of video to CV, is that a similar time frame as you have seen from analog and digital in the past?
Fermi Wang : Right. So we haven't given guidance about the CV percentage or total professional security camera. We'll consider that. But if you do the math, I think we are getting a higher percentage, and it's definitely become very meaningful for professional security camera with our CV revenue today. And that definitely is growth, because our video process, like I said, last year, our video processors business has pulled down only by 10%, but our CV revenue growth this year is going to be a lot more than that. So I do believe that we will continue to maintain video processor revenue while we're growing our CV revenue. In terms of -- sorry, I forgot your second part of the question.
Richard Shannon : The trend from video to CV, do you see that happening in kind of cadence as analog to digital as seen in the past?
Fermi Wang : I agree -- I think that's the case. In fact, I just mentioned that. I think the transition from the video to CV, particularly in professional security camera. We're only seeing it. I think that transition will be fast, will be continued to accelerate it in the next couple of years. And in fact, 1 indication is majority of the new projects that our customers kick off with us, they are all CV based. So I have no doubt that you're going to continue to see this trend in the next couple of years. Maybe when we transitioned from video -- from Tantan analog to video camera, there was 3 years of ramping up very fast. I'm not sure we are in that phase yet, but I won't be surprised we'll see starting that phase very quickly.
Operator: There are no further questions. I will now turn the call back to Dr. Fermi Wang for closing remarks.
Fermi Wang : Yes. I would like to thank all of you for joining us today, and I'm looking forward to see you next time. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.